Operator: Good morning, ladies and gentlemen, and welcome to Brighthouse Financial’s Fourth Quarter 2020 Earnings Conference Call. My name is Josh and I will be your coordinator today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of the conference call. In fairness to all participants, please limit yourself to one question and one follow-up. As a reminder, the conference is being recorded for replay purposes. Also, we ask that you refrain from using cellphones, speakerphones or headsets during the question-and-answer session portion of today's call.
David Rosenbaum: Good morning and thank you for joining Brighthouse Financial’s fourth quarter and full year 2020 earnings call. Our earnings release, slide presentation and financial supplement were released last night and can be accessed on the Investor Relations section of our website at brighthousefinancial.com. We encourage you to review all of these materials. Today, you will hear from Eric Steigerwalt, our President and Chief Executive Officer; and Ed Spehar, our Chief Financial Officer. Following our prepared comments, we will open the call up for a question-and-answer period. Also here with us today to participate in the discussions are Myles Lambert, Chief Distribution and Marketing Officer; Conor Murphy, Chief Operating Officer; and John Rosenthal, Chief Investment Officer. Our discussion during this call will include forward-looking statements within the meaning of the federal securities laws. Brighthouse Financial's actual results may differ materially from the results anticipated in the forward-looking statements as a result of risks and uncertainties described from time-to-time in Brighthouse Financial's filings with the U.S. Securities and Exchange Commission. Information discussed on today's call speaks only as of today, February 11, 2021. The company undertakes no obligation to update any information discussed on today's call. During this call, we will be discussing certain financial measures used by management that are not based on Generally Accepted Accounting Principles, also known as non-GAAP measures. Reconciliations of these non-GAAP measures on a historical basis to the most directly comparable GAAP measures and related definitions may be found on the Investor Relations portion of our website, in our earnings release, slide presentation or financial supplement. And finally, references to statutory results including certain statutory base measures used by management are preliminary due to the timing of the filing of the statutory statements. And now, I'll turn the call over to our CEO, Eric Steigerwalt.
Eric Steigerwalt: Thank you David and good morning everyone. Once again I hope that everyone listening today and your loved ones are remaining safe and well. Well, 2020 was a year like no other the COVID-19 pandemic upended our communities and the world. Capital markets were volatile. Over the course of 2020 we saw the S&P 500 reached a record level followed quickly by a bear market and recovery resulting in an 18.4% total return for the year.
Ed Spehar: Thank you Eric and good morning everyone. Last night we reported fourth quarter and full year 2020 financial results including preliminary statutory figures. As evidenced by these results our capital and liquidity position remain strong. Driven by the favorable market environment in the fourth quarter our combined statutory total adjusted capital or TAC increased to $8.6 billion at December 31 up from $8.4 billion at September 30. TAC increased despite ordinary dividends paid from our insurance subsidiaries of more than $500 million during the fourth quarter which included the planned $450 million ordinary dividend from Brighthouse Life Insurance Company or BLIC.
Operator: Thank you.  Our first question comes from Humphrey Lee with Dowling & Partners. You may proceed with your question.
Humphrey Lee: Good morning and thank you for taking my questions. I guess my first question is regarding to the $300 million of dividend upstream plan for 2021. Is there any like I guess anything kind of thinking into that any kind of market conditions that may change how you think about that plan to move it higher or lower?
Ed Spehar: Hey good morning Humphrey. It's Ed. So when we think about our dividend plans, it's based on a scenario analysis that's considering potential outcomes for the market and credit. So it isn't based on dividend capacity. So as you see we think that the right number to take this year would be approximately $300 million and that's well below the actual capacity for $800 million in total and about I believe it's $700 million for BLIC and I think that that number as I said is more consistent with a normal year as I had indicated back on the March 2020 outlook call.
Humphrey Lee: Okay. Thank you. And then I guess more of a philosophical question for Eric. I think looking back for the past couple of years definitely have been executing well but I think at the same time it's evident that for public markets are not ascribing a proper valuation to VA businesses and this is seen via some of the transactions that we have been seen in the marketplace by some of your peers or some or even them talking about it. I think right now Brighthouse sitting on excess capital that is north of 50% of your market cap and I don't think a risk transfer is necessarily the right answer since you don't really need the extra capital based on what you have right now, I guess at what point does the company look to do something more transformational to unlock the value?
Eric Steigerwalt: Thanks Humphrey. Good morning look as we've said all along we are executing on a strategy, right? We've had a strategy to unlock capital, repurchase stock, rationalize expenses and sell new business and as we're doing all of that you can see old business flowing off the books. Conor has discussed many times the net outflows and how frankly a fair amount of that is a good thing for our balance sheet. So I understand your question about valuation but we think that this strategy is working. I mean we've been able to repurchase almost 28% of our common stock in the last couple of years. So I'm not going to take anything off the table and I've repeated this many times and I'm really not taking anything off the table. If we saw some transaction that might work, we would consider it but this strategy sort of the culmination of this strategy I think it is two things. Number one, over the past 3.5 years we've created quite a franchise and we're very proud of that. You can see our sales. You can see our sales in the fourth quarter and we've been able to repurchase almost 28% of the company which we think is a value creating positive exercise and will pay off over time. So that's the strategy. Conor maybe you might want to mention where we've come with respect to the liability changes that have happened on our balance sheet over a couple years?
Conor Murphy: Sure. Hi Humphrey. So in terms of the mix, the composition of the in-force clearly Shield has become a significant component and as a reminder when we became a separate entity Shield only represented about 2% of our in-force and that's grown by 12 points through to 2020. So now it's gone from 2 to 14 and the decrease is in the VA business about 6 points in what we refer to as the capital intensive and another 6 in the non-capital intensive. And as we look at over the next pretty near-term horizon kind of between now and maybe the end of 2023, we expect that change to continue to shift such that we'll end up by 2023 with Shields approximately 25% and the capital intensive block coming down to actually the same amount about 25%. Now that would leave us with about 35% of the non-capital intensive and then the remaining 15% is the fixed book. So right in line with the progress that we've talked about and a significant shift that's happening really every day.
Ed Spehar: Hey Humphrey it’s Ed. I just add a couple things. First of all our financial strategy is the prudent acceptance of capital markets risk supported by a strong cash and capital position and that strategy does affect how we view the attractiveness of a block deal. The second thing I would say is, I think we are focused on releasing capital from our VA business and we have released substantial capital without a block deal. For example with the de-risk hedge strategy early last year we were able to free up $1 billion of capital which allowed for the substantial dividend we took from BLIC last year. And in addition as related to the pie charts that Conor is referring to we're de-risking every quarter with the natural attrition of our VA in-force block.
Humphrey Lee: Appreciate the color and don't get me wrong I do think you've been executing very well since the separation but anyway I really appreciate the feedback. Thanks.
Operator: Thank you. Our next question comes from Ryan Krueger with KBW. You may proceed with your question.
Ryan Krueger: Hey good morning. I had a question on buyback not surprisingly. I guess I'm trying to understand the size of the authorization. It's lower than the last couple authorizations and wouldn't get you to the $1.5 billion target. Are you taking a different approach where you are looking to do smaller authorizations but potentially execute them and then re-up or is this a signal that you may not hit the $1.5 billion buyback target this year?
Eric Steigerwalt: Thanks Ryan. It's not a signal it seems like in some of the reports it's become a signal but it is not a signal. So let me say a couple things about it. First of all we don't want to be in a race with ourselves like we did 200 then 400 then 500 and so naturally does the next one have to be 600 or something like that. When we did the 500 last February that was in conjunction with a pretty big change in the hedging strategy that freed up about a billion dollars of capital. So you can sort of see there is a nice nexus there and in this case it's like well you could have done it any number of ways but we thought okay we got a little bit to go on the current one. Let's do another 200 and then I'll just stay right here. I would like to finish it off. We have a goal I've said all along I want to hit that goal and I certainly still want to hit it now. So no, it's not any signal other than I hope it makes sense my comments about not kind of being in a race with ourselves.
Ryan Krueger: Thanks that does. I appreciate it and then for Ed, on your comment on normalized statutory earnings being pressured in the current low interest rate environment. Can you give any more detail on that? I guess is roughly breakeven your expectation or would you anticipate some positive statutory earnings in this environment?
Ed Spehar: Yes. Good morning Ryan. So first of all the fourth quarter results were slightly positive for norm stat earnings and I think it's important to understand the composition because we did have good VA earnings in the fourth quarter as a result of the market environment. This was offset by weak non-VA results primarily driven by mortality. I think you and others have noticed that we did have elevated mortality in the fourth quarter. So I would just say that you don't see the underlying strength of the VA results in the fourth quarter because of the challenging mortality quarter. Looking forward we're not going to give a forecast or an outlook for norm stat earnings for ‘21 but I would say that when you get the distributable earnings tables which we're not going to do a business update call in March. We are planning to release the distributable earnings tables in an 8K I think based on the scenarios we show you'll be able to drive some sensitivities around rates but while rates have come up, I mean they're still at a low level so we would expect some pressure on ‘21 norm stat earnings.
Ryan Krueger: Got it. Thank you.
Operator: Thank you. Our next question comes from Tom Gallagher with Evercore. You may proceed with your question.
Tom Gallagher: Good morning. Just a follow up on Ryan's question Ed. So the $250 million dividend you're expecting to take from BLIC in 2021 would you say that, does that contemplate keeping RBC flattish meaning would you expect all things equal to earn or build that amount of capital throughout the year? Is that sort of the way you're thinking about it or would you expect since you're above your RBC target to be potentially drawing down your RBC? I just want to understand, the intention here to get to around the 450 RBC thus we should expect a draw down or would you like to maintain an RBC buffer for the time being?
Ed Spehar: Hi. Good morning Tom. I mean, I guess I would say that over time in a normal market environment we would want to be in the range of the 400% to 450%. So I don't want to give a specific number for RBC for year end. I mean we have not done that and I don't know that we want to start doing that now but I think it's fair to say that over time we would plan to work to that target range of 400% to 450% which we believe gives us significant cushion to absorb the bad things that can happen from time to time.
Tom Gallagher: Got it. And I guess, Eric the thinking about the level of Holdco cash now I think your Holdco target is 400 million. You're  above that I guess the first commitment here on buybacks is simply to use what you're dividing up from BLIC for the year. That'll still leave you with this significant cushion over and above your target. I mean how are you are thinking about that? It's a sizeable amount with the intention here to be just keep doing more buybacks given the current valuation or are you considering other uses for that cash. It's just so sizable relative to market cap it seems like the elephant in the room at this point.
Eric Steigerwalt: Yes. I got it Tom. Look we are thinking how many times we've said the words prudent and flexibility this morning. Maybe we're overdoing it a little bit but look we're still in a global pandemic. You see where rates are. We're very proud of this franchise and we want to protect it. We're thrilled with the situation we find ourselves in with distributors and we want to make sure that they're comfortable, etc. but your point is well taken. Over time I would answer this question kind of the same way that Ed just answered your RBC question. Over time we would expect that number to come down. Now I really like the flexibility that 1.7 billion allows you but over time I'd like that to return that to shareholders and when you think about what we've done so far with respect to buybacks that obviously is a little bit of a road map with respect to what we do in the future. I'm certainly not going to announce any new targets or anything today but over time I would expect that number to come down.
Tom Gallagher: Okay and then sorry, just one follow-up based on where the stock is today, is it a no-brainer that you would be thinking just share repurchase or are you thinking anything aside from share repurchase?
Eric Steigerwalt: Obviously one of the things you may be referring to is a dividend. Look obviously we have these discussions and we've had these discussions with the board. I have nothing to announce today but I would say in keeping with our phrase prudence and flexibility. I mean we'll consider whatever we think could help create shareholder value. That's how we think about this and that's how we'll continue to think about this. Ed you want to add anything?
Ed Spehar: Yes. Just one thing I just would point out here is we've obviously shown a willingness to return substantial capital to shareholders. As Eric pointed out a 28% decline in shares outstanding since separation is obviously a sizable number. And importantly we believe that the actions we've taken to date on share buyback will prove to create substantial value over time given that our average repurchase price since the inception of the program is less than $32 a share but at the same time we have to consider that we think the greatest value we can create is supporting our distribution franchise, so we can continue to grow sales and shift our business mix. And so while we're probably all getting tired of saying prudence and flexibility we're going to continue to manage the balance sheet with those two words and it's because it's the right thing to do for the business.
Tom Gallagher: Okay. Thanks guys.
Operator: Thank you. Our next question goes from  with Goldman Sachs. You may proceed with your question.
Unidentified Analyst: Good morning everybody. I'll probably take a little bit of a break from the capital questions. I was just curious looking at the annuity sales this quarter deferred annuities, fixed deferred annuities are up quite a bit again year-over-year second quarter in a row. Can you really talk about what drove that and in light of that why do you expect those sales to be down or lower in 2021?
Conor Murphy: Yes. Hi, it's Conor. So I would say maybe similar to the third quarter, the fourth quarter remained a favorable quarter for fixed annuities in the industry. I think  41%  compared with the fourth quarter of the prior year. Obviously we offer a competitive product. We have a beneficial reinsurance agreement. A lower expense base but we had some rate decreases as well. We had a rate decrease in the third quarter and in the fourth. We obviously had, we had a good quarter focused on a few select firms and we had customers looking for the product. However, we don't expect to sell as many fixed annuities in 2021 as we did in 2020.
Unidentified Analyst: And why would that be?
Conor Murphy: Well, I we don't expect the market will be as hot necessarily. The rate increases will impact that as well. So we think in terms of where our growth opportunities are they're going to lie more in the other products and perhaps I can turn it over to Myles and he can talk about maybe where it might come from in instead.
Myles Lambert: Yes. Thank you Conor and I reiterate all those comments. I think that our focus next year will be growing our core business as it relates to our annuity franchise is a real focus on Shield sales. We are looking to introduce some new products features with our Shield products sometime mid-year next year and continuing the momentum that we've had throughout 2020 with the sale of our flex access product.
Conor Murphy: Hey sorry I just want to correct. My rate change we had decreases in rates in the quarter, I realized I may have said increases. We had a rate decrease in the third quarter and another rate decrease in the fourth quarter. So that's part of why we expect to have lower sales in 2021. 
Unidentified Analyst: Got it and thanks for the clarification. And then my second question, we saw some elevated mortality I guess in the quarter that went beyond COVID-19. I don't think it was unique to Brighthouse. Do you think is there some correlation there between the pandemic and the non-pandemic elevated claims namely? Should we expect that to maybe continue into the first quarter? 
Ed Spehar: Hey Ryan, this is Ed. So our direct claims are in the range of $400 million to $500 million a quarter and then we have reinsurance that may bring us down let's say in the neighborhood at $250 million in a more normal quarter. But if you focus on the direct claims of four to $400 million to $500 million in a typical quarter, we had closer to $600 million this quarter. So a portion of that is COVID as we discussed and then a portion of it is just volatility that we see from time to time in our frequency and severity and there is nothing that we see that's systemic. This was not a good quarter for mortality and it's going to bounce around and we're talking about a number that's that large obviously movement in that number can have a meaningful impact on a quarterly's earnings.
Unidentified Analyst: Right. I guess what I'm trying to get at is do you think some of that volatility ex-COVID is still related to the pandemic? I know people not getting their checkups or whatever it may be and therefore would you expect that to maybe carry into 1Q of this year or do you really see it as uncorrelated volatility that could swing any which way any given quarter. 
Ed Spehar: Yes. We don't see any indication that there's a COVID related impact here.
Unidentified Analyst: Got it. Thanks for the answers.
Operator: Thank you. Our next question goes from Elyse Greenspan with Wells Fargo. You may proceed with your question.
Elyse Greenspan: Hi, thanks. Good morning. My first one Ed on the dividend that you guys expect to take. So especially the $250 million from BLIC this year. I'm just interested in the timing there and then if given the timing should we expect on share repurchase maybe given the flexibility the conservatism you pointed to taking it with the Holdco capital should we expect buybacks to be more weighted to the timing of when that dividend takes place? 
Ed Spehar: Good morning Elyse. We're not going to commit to any specific timing on the dividend and I guess I would say that I don't really think that the timing of the BLIC dividend would in any way influence the timing of or pace of our share buyback considering the amount of cash we have at the holding company.
Elyse Greenspan: Okay. That's helpful and then my second question on some of the operating expenses seemed elevated in the quarter. I know you just said there's typical kind of quarterly seasonality and cost run a little bit heavier in the fourth quarter. Was it just that or is there anything else that was kind of maybe one off within your operating expenses in the fourth quarter?
Ed Spehar: Yes. Okay so what I think probably maybe it makes sense to spend a minute here on trying to help pull all this together because I know we've gotten a question of mortality. Now we're on expenses and I know that there's interest in run rate and so maybe I can make a bit more of a global answer to this question that kind of addresses a number of things including expenses if that's okay.
Elyse Greenspan: Yes. That would be great.
Ed Spehar: Okay. So last quarter I said that I thought our quarterly run rate EPS was in the neighborhood of $3 a share and I would continue to think that it's still in the neighborhood of $3 a share. If we look at the fourth quarter we had very strong alternative investment returns as we've already discussed and that really drove our favorable net investment income relative to what we would consider to be a normal quarter. And that was probably around a $1.15 a share let's say. If you look at the mortality as I discussed around the direct claims being closer to $600 million versus the $400 million to $500 million normal level that was the primary driver of the overall unfavorable underwriting we had in the quarter which in total roughly offset the benefit that we had from the alts. So those two cancel each other out. When we're looking at the rest of the items the favorable market impact that we identified is $0.47 a share, there's a good portion of that maybe somewhat less than half of that it would be related to the expenses being at an elevated level relative to run rate in the fourth quarter. And I think as I pointed out it's not atypical for the expenses to be higher in the fourth quarter. And then the final adjustment you'd want to make is we did have a true up in the fourth quarter for the full year tax rate. So I think you saw that the corporate and other line was a bigger loss. It was driven by this tax adjustment and that true up the out of period adjustment that impacted fourth quarter earnings would roughly be the balance of this favorable market impact. So if you put these expenses and the tax true up together they roughly offset the favorable market impact. If you look at underwriting it roughly offsets the alts. So you're back to $3 per share as I would say kind of a normal quarter.
Elyse Greenspan: Okay. That's helpful. Thanks for the color.
Operator: Thank you. Our next question comes from Tracy Benguigui with Barclays. You may proceed with your question.
Tracy Benguigui: Thank you. Good morning. How should we be thinking about your distribution relationship with MassMutual in light of their upcoming acquisition of AFG Life Insurance business and product suite. It’s kind of looks like yours and if you could also remind us the level of dependence you have on them more broadly for marketing purposes?
Myles Lambert: Yes. Sure. Good morning. It's Myles speaking. So certainly we wish our friends well at MassMutual with this new transaction. I mean we remain very pleased with our partnership with MassMutual and our focus there will continue to be our ability to best support their advisors, their meaningful relationship of ours but as we continue to grow distribution at other firms and other channels they do represent a smaller portion of our overall sales.
Tracy Benguigui: Okay. And maybe I'll stick on the topic of sales and some of the comments you made earlier Myles, when we were talking about fixed annuities and Shield. I'm just wondering if the fixed annuity sales were driven by MYGA if that seemed to be the case in the recorder and we just didn't have appetite for that product and on the Shield side maybe you could just provide a little bit more color on your comment about adding some product features as that market is becoming more crowded. I'm wondering if you'd be offering like GLB or other types of I guess riders to that.
Myles Lambert: And so I'll start with the fix business. Roughly 84% of our business on the fixed deferred product came from our MVA product that 56% was our three-year product and about 43% was our five-year product. As it relates to Shield obviously there's a lot of competition in that space right now as it relates to our market share we feel really good about it. The fourth quarter of last year was our best quarter as Brighthouse with Shield sales. So we believe our product is still very competitive and we're working through what kind of features that we're going to want to include on the product which we believe will launch sometime mid-year.
Tracy Benguigui: Okay but would it change the risk characterization since you are trying to move away from capital intensive business.
Eric Steigerwalt: Conor I'll let you take that one. 
Conor Murphy: Yes. I would say look, we are pleased with the returns on all of our products but I would say that Shield is our core product and we expect it will continue to be a core product and while we will continue to may tweak the product a little bit and add enhancements and so on we will do it by maintaining our expectations in terms of the economics as well.
Tracy Benguigui: Okay. Thank you.
Operator: Thank you. Our next question comes from Andrew Kligerman with Credit Suisse. You may proceed with your question.
Andrew Kligerman: Hey thanks. Good morning. Maybe this one is for Ed and I know you mentioned earlier in the call that you didn't want to project normalized stat earnings but it's zero or a little slightly positive in the quarter negative 400 for the year and it's a Brighthouse metric. So I'm kind of curious like could you give us a sense of what normalized staggerings are just maybe a number there and then with that maybe reconciling it to the fact that your total adjusted capital was up 200 million despite a $500 million subsidiary dividend.
Ed Spehar: Okay Andrew. Let me start with the second question. I'll come back to your first one because the second question maybe is a more satisfying answer than the one you'll get for the first one but we'll try to help. So you've heard me talk in the past about convergence and divergence and as an explanation for why you will see more volatility and total adjusted capital than you will see in the RBC ratio under VA reform. So think about the fourth quarter as being a very good quarter for markets and so you saw an increase in tax sequentially of $200 million even though we took a $511 million dividend. And the reason for that is that when good things happen they tend to get reflected in your CTE 70 reserves which impacts your TAC. The opposite occurs when you have bad things happen. The RBC ratio however and it is based on the total adjusted, the total asset requirement at CTE 98 which is more of a tail type set of scenarios and it doesn't move as much. So you have more stability in that figure whereas the TAC will move more based on movement in CTE 70. The same concept applies to norm stat earnings as remember one of the key adjustments to get to norm stat earnings is we replace the change in reserves at a CTE 70 level with the change in total asset requirement at CTE 95. So it's not surprising that you don't see the link between the change in TAC and the norm stat earnings number considering the fact that we have this divergence at play in norm stat earnings as well. Going back to your first question, what I would say is it is easier to talk about a figure like norm stat earnings by thinking about distributable earnings and thinking about it over multi-year period and so under different scenarios. So if you look just maybe you could just be a little bit patient because we will get something out to you within a relatively short period of time when we release our distributable earnings tables but you'll see distributable earnings under different market scenarios over a multi-year period. And you can think about those distributable earnings figures being tied to a norm stat concept because the norm stat is capital generation above the CTE 9. It's above CTE 95 and obviously CTE 98 is what matters for RBC but we're not giving an annual expectation for norm stat earnings. It is volatile we would expect over time as we continue to shift our business mix that there will be more stability to norm stat earnings and distributable earnings but it will take time and for now I think what I would suggest is by looking at the different scenarios that we're going to give you in March and the distributable earnings over a multi-year period that that should give you some sense of how to think about norm stat earnings.
Andrew Kligerman: Great. That was helpful and I'll look for those sensitivities and then just a quick follow-up on Conor's early comments about fixed annuities and lowering the rates. Conor where was the rate in the fourth quarter and where did you bring it and maybe there are different products but in general where were the fixed annuity rates?
Conor Murphy: I'll give you a general sense. We were coming into the quarter and we have various products in various lengths but we were in the above the 1.5% range and we're closer to a 1% range broadly speaking after the rate change yes.
Andrew Kligerman: Interesting. Thanks a lot.
Operator: Thank you. Our next question comes from Erik Bass with Autonomous Research. You may proceed with your question.
Erik Bass: Hi, thank you. I want to go back to the annuities sales outlook and Myles I don't think you mentioned the BlackRock product in your discussion. So just wondering is that something that you expect to start to see material sales in 2021 or is that more of a longer term opportunity?
Conor Murphy: It's Conor actually. I'll take that one. Yes, so BlackRock obviously we're very-very excited about the opportunity with BlackRock. We're working closely with them obviously taking their lead as well but remained very bullish on the product and how it's going to help Americans but it's a new category for us and for them. It's going to take a little bit of time. So we don't, we haven't actually talked about what the sort of the financial expectations are and we likely won't do that for a little bit longer here as well. So stay tuned on that one. Thank you.
Erik Bass: Got it. Thank you and maybe one other one for you Conor. I think you mentioned that lapse trends in the older VA block have started to normalize. So maybe if you could touch on that a little bit more.
Conor Murphy: Sure. Yes. Honestly, I would describe Q4 as being very consistent with our expectations it looked very much like Q1 actually. So around that $3 billion number in terms of the outflows the composition is very consistent. So about half of it being full withdrawals, about a third of it being partial withdrawals 15% debts and a couple of percent annuities. So really expect pretty normal and I would say that's our expectation heading into 2021 as well. So we will see.
Erik Bass: Got it. Thank you.
Operator: Thank you. Our next question comes from John Barnidge with Piper Sandler. You may proceed with your question.
John Barnidge: Thanks. Going back to the MassMutual distribution question, you talked about wanting to distribute more than just through them. Can you talk about what percent of sales went through MassMutual in 4Q, ‘20 versus maybe at the time of spend and as compared to a year ago, so we can get a better sense of how you've been building greater distribution partners?
Myles Lambert: Yes. I mean we've done a lot, it's Myles again. We've done a lot as far as expanding contribution both within certain product categories bringing on new firms and we successfully launched a new FIA product into the traditional IMO channel this year secure advantage six year and we were really pleased with our results of about 325 million of sales given the macro environment with pandemic. So our distribution network is growing outside of MassMutual and as I said a few moments ago MassMutual represents a smaller portion of our sales and that's been consistent over the last few years but they remain a very important relationship of ours. We provide dedicated wholesaling to them and our focus is still to provide them the same level of support and continue to grow sales there in the future.
John Barnidge: Is it a majority of sales today?
Myles Lambert: Majority of our overall sales today, no.
John Barnidge: Okay. Thank you.
Operator: Thank you. Our next question comes from Tom Gallagher with Evercore. You may proceed with your question.
Tom Gallagher: Thanks. Just Ed, just a quick follow-up. The gross life claims this quarter of $600 million what was the net number? 
Ed Spehar: Hey Tom. It was between $350 million and $400 million. It was $360 million, I believe $360 million something. 
Tom Gallagher: Okay because that's a meaningful delta relative like normally it's 50% and is there anything, was that just because you're retaining more or was that just unfavorable reinsurance participation relative to normal? 
Ed Spehar: Yes. It's nothing other than we believe normal mortality. I mean we have this big direct claims number every quarter and we have reinsurance percentage that will move around based on where reinsurance coverage is and where it's not. So it's those two elements combined that creates the volatility that we see.
Tom Gallagher: Okay. All right. Thanks.
Operator: Thanks you. Our next question comes from Suneet Kamath with Citi. You may proceed with your question. 
Suneet Kamath: Yes. Thanks. Good morning. Eric I think in your opening comments you talked about one of your goals around capital is to protect the distribution franchise if I heard it right. Is that a sort of a message that around your ratings and then if your ratings were higher perhaps you'd be able to generate a higher level of sales? Just wondering if that's what you were getting out there?
Eric Steigerwalt: Hey good morning, Suneet. No, not really. It was just an overall sort of look where we work really hard for our distributors and they're just, they're fantastic partners across the board. So it helps them when they see a strong balance sheet and us working on new products, etc. but no there was no other message in that.
Suneet Kamath: Got it and then I guess if we think about sales strain kind of going forward, your life sales have sort of been in the mid teens here for the past couple of quarters. I'm assuming you want to get that higher. I think you talked about annuities flipping from outflows and inflows. So can give us a sense on where you see kind of the sales strain going in 2021? I don't know if you want to benchmark it relative to like earnings or something along those lines but just wondering if that's going to be a use of your sort of excess capital?
Ed Spehar: Yes. Hi Suneet. It's Ed. We will, if you recall last year when we gave the DE figures we gave some indication of strain and the related impact. I expect that would be a topic we would be willing to discuss around the time of the DE tables but I would say generally I wouldn't think it's a meaningfully different story than what we had talked about last year.
Suneet Kamath: Got it and did you say you're having a call when you put out DE tables?
Ed Spehar: No, we are not having a call. We're going to put it out in an 8K and then we will set aside time to obviously to answer as many of your questions as we can.
Suneet Kamath: Got it. Okay. Thanks.
Operator: Thank you. Ladies and gentlemen I will now turn the call back over to Mr. Rosenbaum for any closing remarks.
David Rosenbaum: All right thank you Josh and thank you all for joining us today for your questions and for your interest in Brighthouse Financial and I hope you have a great day.
Operator: Thank you. Ladies and gentlemen this concludes today's conference call. Thank you for participating. You may not just connect.